Operator: Good morning. My name is Christine; I will be your conference operator today. At this time, I would like to welcome everyone to the Exelon first quarter earnings conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I will turn the call over to Ms. Stacie Frank, Vice President of Investor Relations. Please go ahead.
Stacie Frank: Thank you, Christine. Good morning. Welcome to Exelon's first quarter 2010 earnings review and conference call update. Thank you for joining us today. We issued our earnings release this morning, if you haven’t received it, the release is available on the Exelon website at www.exeloncorp.com. Before we begin today’s discussion, let me remind you that the earnings release and other matters we will discuss in today’s call contain forward-looking statements and estimates that are subject to various risks and uncertainties, as well as adjusted non-GAAP operating earnings. Please refer to today’s 8-K or our other filings for discussion of factors that may cause results to differ from management’s projections, forecasts and expectations and for reconciliation of operating to GAAP earnings. Leading the call today are; John Rowe, Exelon's Chairman and Chief Executive Officer, and Matthew Hilzinger, Exelon's Senior Vice President and Chief Financial Officer. They are joined by other members of Exelon's senior management team who will be available to answer your questions. We have scheduled 60 minutes for this call. I will now turn the call over to John Rowe, Exelon's CEO.
John Rowe: Thank you, Stacy. Good morning, everyone. In the first quarter Exelon was able to beat our own expectations. Our results and our confidents in the balance of the year allow us to raise the bottom of our full year earnings guidance. As you all know we’re working very hard to manage everything that is in our control and to keep ourselves positioned for the day when commodity markets improve. As the economy recovers and capacity and energy markets improve Exelon will again increase its value. And it will come as either carbon legislation or pollutant regulations impact the oldest and least efficient generating units among our competitors. The timing may be uncertain, but those forces are escapable. I will begin with a quick overview of the first quarter. As you’ve seen in the press release, we’ve recorded operating earnings of $1 per share above our guidance range of $0.85 to $0.95 per share. We were able to deliver these results through exceptional operating performance and better than expected load at PECO. Our nuclear fleet achieved a capacity factor of 92.3% in to chip, while conducting five refueling outages. Among these outages was a steam generators replacement at Three Mile Island. We recently completed outage to acquire series, resulted in plant upgrades that marked 100 cumulative megawatts in added capacity, since we announced the program last year. The ComEd and PECO continued to improve their performance. ComEd recorded its best ever first quarter results for reliability and frequency of outages. And Denis O'Brien and the team at PECO performed superbly in the face of the series of genuinely extraordinary so far [ph]. As a result of our success in the first quarter, we are revising our full year guidance from the $3.60 to $4 per share range that we had to $3.70 to $4 per share. In addition to this performance this reflects the fact that some of our market conditions at generation are more favorable than our previous forecast. It reflects our continued progress on achieving our OEM targets, and as we told you in January, we now have certainty about out attention expense for the year. Cash from operations is similarly showing improvement. Matt, will walk you through the details, but much of the improvement is associated with the cash benefits of the better than expected earnings and with tax planning items. We are putting cash toward in three different place, we are maintaining our dividend, we are continuing investing in our nuclear upgrades, and we are expect to increase our financial flexibility by making a discretionary contribution to our pension funds this year. This will both improve our funded status and reduce our mandatory cash contribution to 2012 and beyond. The precise amount will be determined by our board some time this year, but we anticipate that the contribution will be in the neighborhood of $500 million. Before Matt gives you more detail on the financials, I want to update you on what we know about developments in Pennsylvania, Illinois and Washington. In Pennsylvania, the headline is obviously PECO’s electric and gas distribution rate filing. This is PECO’s first delivery rate case filing in 21 years and only the second gas rate case over that period of time. It reflects over 2.5 billion in infrastructure investments in the PECO delivery system, while keeping rate increases very moderate. Denis O’Brien has a chart to show how the average PECO residential customer can offset the entire increase by installing a programmable thermostat and five compact fluorescent light box. In addition, PECO has reached an agreement for the $200 million stimulus award from the Department of Energy to support a smart grid and smart meter deployment. Finally, Exelon Power has surged from PJM that there are some localized transmission improvements that are necessary before the full retirement of Eddystone and Cromby station. Two of the four units will retire, have scheduled in mid-2011 and Generation expects to file for a reliability, must run agreement for the other two in the second quarter. It will provide for costs recovery and a return but will be limited in duration and cover only the periods that the units are needed for system reliability. Turning to Illinois, ComEd would continue to improve both its operating and its financing performance. Frame card and the Missouri [ph] are constantly successful in binding new ways to delivered cost control and revenue improvement. Because of efforts like this ComEd is on prep to achieve an ROE of at least 10% this year. ComEd is preparing for a rate case filing in the second quarter. Despite a consistent low gas price environment, impacting power prices, Ken Cornew and his team are constantly looking for opportunities to reduce downside risks through longer term contracts through the use of options and localized near-term transmission upgrade investments that reduce congestion. Power team has seen the basis spread between NI-Hub and AEP Dayton hub come back in line with historical levels as we expected and talk to you about back in November. Exelon Generation is planning to invest several millions of dollars in transmission upgrades near the equipment [ph] station that will lower congestion and improve equipments pricing toward the synergy hub. Our team is working with the PJM processes to identify other investments in our operating footprint that will improve energy flows and reduced the same issues with neighboring RTFs. Now let me a say few words about Washington, I maybe the only person in the country willing to say only a few words about Washington. On the hills of the healthcare debate to prevailing wisdom is that odds for passing climate legislation are slim. I don’t disagree with that, but there is a great deal of work going on. John Kerry, Lindsey Graham, and Joe Lieberman are working very hard on an economy wise, sector-by-sector approach. I anticipate that they will have announcement in this regard next week. It appears that their proposal will continue to regulate carbon emissions in the utility sector on a market based cap-and-trade approach. It also appears that they are doing will improve incentives for low emission sources like nuclear. The outcome remains uncertain, but this looks like it will be a bill that has a much better change chance of locking than the previous measures. Regardless of the outcome of climate legislation EPA is moving along with its regulatory approaches to using established statutory requirements and regulating a variety of air pollutants. We expect the administrator Jackson and her staff will come out with a first in a long line of regulations in the next few weeks. Coal fire generation will face very difficult investment decisions over the years ahead. EPAs effort reinforce for me, what has been a guiding principal for Exelon since its creation. That is with the best generation assets and those that run with the lowest emissions profile. And PJM Exelon 17 nuclear reactors are the best of those low emissions. We take Exelon 2020 very seriously and we look at it as a value added document as an investment guideline not simply as a PR legislative piece. I would be remiss in talking about Washington without mentioning that Betsy Moler has announced that she will be retiring this summer. Betsy has done a great deal to help build the value of your shares. With her work on Congress legislation, with her work on bringing ComEd in to PJM, with her tireless [ph] education getting for competitive markets and with her work at FERC, as she is a very special person and cannot be replaced simply. So, we have two people who I think will fill the whole very nicely David Brown will lead our DC office and he has been part of Betsy’s team there for ever since the merger and for ten years prior to that he was with PECO. Joe Dominguez who was to handle legal and governmental affairs for Exelon Generation will now add the Federal Regulatory Practice to his portfolio. We will continue to have a very good Washington team, but I personally will miss Betsy very much. And with that, let me turn this over to Matt. He will take you through the financials in more detail.
Matthew Hilzinger: Thank you, John, and good morning everyone. I will start on slides 4 and 5 where about – lined our key messages for this morning and detailed of the first quarter results. We have provided a significant amount of detail regarding our results and the earnings release in the new company tables. I will spend most of my time providing additional color on a few select items in the release and updating you on our key highlights for the quarter and our cash flow outlook for the remainder of the year. As John, mentioned Exelon delivered operating earnings of the $1 per share for the first quarter of 2010 compared to $1.20 per share in the first quarter of 2009. The first quarter results came and above our expected range of $0.85 to $0.95 per share largely driven by better than forecast demand at PECO and higher revenue net fuels in plant at Exelon Generations. The higher revenue at fuel generation is principally made up of congestion favorability in Western PJM and lower MISO ancillary cost. I will explain more about what we are seeing with utility well in few minutes, but let me first turn the Exelon generation on slide 6. As expected, we saw a decrease in Exelon generation relative to the first quarter of last quarter to the unfavorable market conditions in all regions and lowered nuclear volumes. The lower nuclear volumes were driven by more refueling outage days than last year, including 23 days in 2010 related to the outage and Three Mile Island to installed steam generators. Our full year guidance for 2010 assumes 10 plants refueling outages, which is in line with 2009. However, the outages this year are more heavily weighted to the first part of the year than in 2009. Five outages were either in process or completed by the end of first quarter this year compared to three in the first quarter of 2009. We also had higher nuclear fuel cost quarter-over-quarter a trend that we expect to see continue as our below market uranium hedges from several years ago are replaced with contracts at levels more representative for our long-term expectations for uranium, which were in the range $40 to $60 per pound. Let me spend a few minutes on slide seven, highlighting what we are seeing in the power markets and hedging activities we completed this quarter. We solely on current forwards market conditions in Exelon Generations portfolio were challenged. Prices at NI-Hub and PJM West hub decreased throughout the quarter driven by the decline in natural gas prices. As we have shown in more detail in the appendix of today’s slides, our open gross margin reflects this downward movement in prices. Our hedges have protected much of that move in the near term as our 2010 hedged gross margin for example is up 50 million since year end. We continue to use put options to remain ahead of our three ratable plant in 2011 and 2012. In 2011 about 10% of the hedges are from put options that we purchased to protect against further declines in natural gas and power prices while preserving participation in upward price movement. As we see power fundamentals improve, we believe that there is still some upside to Midwest power prices from what is reflected in the current forward curve, particularly in on-peak hours. We have seen further compression in the basis differential between NI-Hub and ADHub to levels that are more in line with historical levels and the last PJM financial transmission rights auction. You recalled that mid last year, the spreads between those two trading points implied in the 2012 forwards was about $13 per megawatt hour. As of the end of the first quarter, and even as earlier this week, the spread is down to about $6 per megawatt hour. So even at a declining gas price environment, NI-Hub prices are moving a little better relative to Ad-Hub. We build it out that remained challenges it occur a power prices and developers continue to have difficulty finding counter parties to execute long-term PPAs. In addition, we are expecting to pickup in load relative to last year and all of these factors stayed together should have a positive impact on NI-Hub heat rates. The capacity component is another key source of Exelon Generations margin and the bottom of slide seven, we’ve shown to breakdown of our total eligible installed capacity by region for the upcoming RPM based residual capacity auction. As you can see from the pie chart, 50% of our capacity is in the eastern zone of PJM, which received significantly higher prices than the Midwest in the last RPM auctions. We see five drivers that should lead to upside in the clearing prices for the 2013 and 2014 auction to be held this May. First, we think there will be some changes in the bidding behavior of auction participants as FERC approved the rule change following the last auction that will allow existing demand response resources to bid in above zero. Second, PJM has increased its demand forecast by about 1.7% compared to the demand assumed in the 2012 and 2013 auction. Third, First Energy is joining PJM in mid 2011 as they will bring slightly more load than supply. Fourth, the delay associating with the Susquehanna-Roseland Transmission line in East reduces available import capability in the Eastern MAAC by close to 2000 megawatts. And finally Net CONE which measures the cost of new bill less historical revenues increased by 15% for RTO and 23% for EMAAC. In aggregate these factor should lead their increases in capacity prices relative to the prior auction results. In terms of the timing, initial pricing results are expected to be public on May 14th, which is full market monitor report file where the summer which is similar to last year. Turning to ComEd on slide eight. ComEd improved its earnings quarter-over-quarter, principally due to ComEd's continue cost reduction work. One other driver particular that I would like to highlight is the $0.06 per share of favorability related to uncollectible expense rider, which was reflected in our original 2010 earnings guidance. We were able to work constructively with both the legislators and the ICC to develop this rider, which allows ComEd to recover the bad debt amounts not included in base rates. Our first quarter results included the under collections in 2008 and 2009 and going forward ComEd will reported to true-up on a quarterly basis. As you’ll see on the slide nine, whether normalize alluded ComEd declined 0.8% from the first quarter 2009 to the first quarter 2010, which was in line with our expectations, one positive signs is that March was the first month with positive growth we’ve seen in the ComEd services territory since July of 2008. The residential sector head up – held up especially well as we entered approximately 2500 customers as at the end of the first quarter this year compared to the first quarter of 2009, which is the first time that we’ve seen positive customer growth since December of 2008. We continued to track region unemployment data in Chicago, which is about 10.9% and still higher than the national average and as a result we continue to believe that residential load will show flat to very slight improvement for the year. In ComEd C&I segments whether normal load was down slightly in the quarter, but only by about 200 gigawatt hours over the last year. National data like the large institute for select supply management survey, which had its highest readings since mid 2004 suggest that manufacturing sector continues to expand to survive stronger orders in production. Based on the regional and national trends we’re watching and what we’re hearing from surveys of our large customers, we think the inflation point in the large C&I classic, ComEd is coming around the mid year. And we continue to expect the full year growth and that class about 1.7%. Across all customers classes are ComEd forecast for 2010 is unchanged at 0.8% growth for the year. Moving to slide ten, we’ve outlined ComEd $1 billion revolving credit facility that we closed at the end of March. The transaction shows the bank market of the investment grade credit is strengthening. We have 22 banks committed in the three year facility and the pricing is rolled any other BBB credit priced in the last year. We continue to attract the credit markets, so that we can take advantage of attractive terms and conditions for the refinancing of the credit facilities at our other operating companies, which are due to expire in late 2012. Lastly for ComEd there are coupled of key events planned for the second quarter. The bids for the Illinois Power Agency procurement are due next week, followed by ICC approval in early May and a ComEd expects to file an electric distribution rate case later in the second quarter. On slide 11, we have shown the PECO quarterly earnings drivers. PECO delivered quarterly earnings in line with last year as expected PECOs’s quarterly results included increase revenue – that fuel related to lower energy pricing, the generation under the PPA provisions, which is fully offset at Exelon generation. Keep in mind that because this is the last year before PECO transitions to market. PECO’s price for energy paid the generation under the PPA and the amounts collected for the CTC will vary during the yea, and order for PECO to complete the collections of extended cost. Separately weather in the Philadelphia service territory was challenging in the first quarter. The region is hit with three snow storms leading the total accumulation of 79 inches for the 2009 and 2010 winter season over 300% above normal and despite the related work flow PECO was just one penny per share unfavorable to the quarter on storm cost. On slide 12, you can see that PECO’s load increase slightly for the first quarter compared to the first quarter of 2009 as PECO is seeing signs of improving demand bit earlier than originally expected. The large commercial and industrial classes seeing increased load in the steel manufacturing segment, as well as healthcare and educational services. The residential growth appears to be tied to better economy recovery. Our current forecast for the Philadelphia gross metro product is now 0.6% positive for 2010, as compared to a negative 0.2% at the time we did our original 2010 budget. For the full year PECO now expects positive growth of 0.3% versus our previous forecast of negative 1.5%, primarily driven by recovery in the residential and large C&I classes. That vision reflects PECO’s actual first quarter load and general improvement in the gross metro product forecast in the Philadelphia region. The new forecast also incorporates higher usage per customer than we originally anticipated, because of the PAPUCs approval of energy efficiency programs came a little later than we had originally expected. In turn, the implementation of our energy efficiency programs was delay at PECO, resulting at projected 0.5% increase in total load for the full year. Turning to slide 13, PECO filed an electric and gas distribution rate cases on March 31st, 2010. Highlighting a few items from those filings, both cases are requesting an 11.75% ROE and use 2010 forward test year, which is conventional in Pennsylvania. The electric case as a rate based was just over 3.2 billion and requested increasing revenue requirement of 360 million. On the gas side, PECO’s request is based on 1.1 billion rate base with a revenue requirement increased up 44 million. Rate cases are a nine months process in Pennsylvania, so we anticipate having new rates effective by January 1, 2011. Slide 14 outlines are latest news on sources and uses of cash. Expected cash from operations for the year has improved by a debt about $200 million, as we have increased net income of expected – expectations coming from our first quarter results. And second, we are anticipating some favorable cash from auction sales and spend strategies at Power Team this year. The cash flows that we’ve shown also assuming incremental pension contribution this year as John had mentioned. We expect that contribution to be approximately $500 million, which will be funded through a combination of increased cash from operations of $200 million that I just spoke about, was $170 million from the tax deduction that we get upon making the contribution, and we expect to finance about $150 million with additional debt at ComEd. Making this additional contribution in 2010 is consistent with our goal of preserving financial flexibility by avoiding significant spikes in future acquired contributions of under reachable. The Pension Protection Act of 2006 carries with the requirement to fund the pension within approximately seven years. Even those requirements, which we viewed is being very similar to that service, we see the pension contribution is the best way to meet our financial obligations in our tax effective matter and deliver long-term value. Lastly, I would like to point out that our expected ending cash position has increased from a $175 million that we showed you in January to $500 million now. That increase is simply due to the timing of tax payments for the year about $375 million of which are being differed to 2011. That amount is showing up in 2010 ending cash, but it must be paid in 2011. As we look ahead we expect second quarter operating earnings in the range of $0.80 to $0.90 per share. Our second quarter range reflects lower realized prices that Exelon generation, given market conditions, as well as increase nuclear fuel cost similar to the first quarter. That's being offset to some favorability related to our latest loan growth expectations, continued progress on O&M targets for the year and higher RPM capacity prices, which will become effective on June 1st of this year. We will continue to give specific quarterly guidance one quarter at a time. We are very pleased with how the year shaping up so far and we are pleased to raise the bottom of our guidance range to reflect our first quarter results and our best expectations for how the rest of the year will come in. And with that I will turn the call back to Stacie.
Stacie Frank: Christine, we are now ready to take questions.
Operator: (Operator Instructions) Your first question comes from a line of Daniel Eggers with Credit Suisse.
Daniel Eggers – Credit Suisse: Hey, good morning. First question on the guidance update as it relates to kind of the generation outlook. How much of that is sustainable of that uptake to share I mean, pricing isn’t that fantastic so do you guys think you’re going to retain that extra $0.10 to $0.15 going forward for an operational improvement perspective?
Matthew Hilzinger: Well, I will jump in and this is Matthew Hilzinger, and Ken come in and comment if you like, there is couple of things that really drove our first quarter above our expectations that I had mentioned. One was congestion in the in the Midwest and the second was MISO ancillary costs. And the second was higher load at PECO. PECO is going to get a probably $0.02 from their increasing load for the full year. And I would expect that the translate for somewhere around $0.03 for the generation company and so we factor that in to kind of our full year guidance and that’s really part of the region that we’ve brought our bottom line and then the third thing again you probably recall that at January we’re raised to change our guidance around pension cost. The discount rate came a little higher at year-end than we had originally planned and what we had said in the EEI and so we’re going to see about $0.05 better in pension cost relative to actual to what we have said at EEI so both of – all three of those things I think factored into how we looked at our guidance in our – our O&M is online, I mean we expect to hit targets there so. With that I think we are in pretty good shape as we finish out the year.
Daniel Eggers – Credit Suisse: Okay. And I guess one more question, as we kind to look at the RPM auction coming up obviously, past two auctions Eddystone and Cromby didn’t get better, didn’t clear because the energy value wasn’t high enough with tough forward curve today. Do you have other assets you anticipate, studying that and notably higher standard for market clearing and kind of if you look out into the auction cycle there are 9000 megawatts, it didn’t clear last auction. Do you guys have a thought on how many more units wouldn’t clear given how tough the forwards are today?
Ken Cornew: Yeah, Dan, I think its largely going to be element of what the bidding behavior is of the generation going forward in these auctions. I think clearly what the Market Monitor released saying that a substantial amount of generation didn’t clear in past auctions is likely to continue in future auctions unless prices increased. Now Matt highlighted and you are all looking at what are the price drivers that are going to – or the auction drivers that are going to push prices up and we believe they will. The question really becomes what the bidding behavior of the generators and the demand response will be versus the past. And I would expect to see overtime that these generators are (inaudible) and not clearing are going to have a more challenging time continuing to exist and offer their capacity in the market. I think that will happen probably over the next several years, just not instantaneously this year.
Daniel Eggers – Credit Suisse: Do you guys have other generations' assets that you put in that vulnerable category beyond Eddystone and Cromby?
Ken Cornew: We’ve looked at our generation, obviously we made the decisions around those, we thought were challenged and those are the ones at this point, yeah.
Daniel Eggers – Credit Suisse: Okay. Thank you.
Operator: Thank you. Your next question comes from line of Hugh Wynne with Sanford Bernstein.
Hugh Wynne – Sanford Bernstein: Good morning.
John Rowe: Good morning, Hugh.
Hugh Wynne – Sanford Bernstein: Hi, congratulations on a good quarter. I was going to ask you to elaborate a little bit on your comments, John regarding the EPS regulations away from CO2 to limit emissions of SO2 and mercury. It strikes me that your fleet in northern Illinois might benefit materially from some of the older coal-fired units in that state being forced to go offline rather than incur the cost of mercury and acid gas emissions controls. I was hoping I might get some insight from you as to what your expectations are regarding those regulations, their impact and the potential implications for your revenues?
John Rowe: Well, we think exactly what you do on that subject. I think there are at least three or four units in northern Illinois that are owned by others, for what incremental investment to comply with tighter standards will be a very vexing thing indeed. Now obviously we don’t have – aren’t allowed to have any peculiar insights into what the owners of those units maybe doing. But we intend to be ready when those decisions have to be made. I think you have your finger on it exactly, I don’t think we’re going to see EPA use in CO2 regulatory powers in a draconian fashion. My guess is that they believe that that would create an unsustainable amount of congressional kickbacks, but EPA has rule makings on coal ash to come out soon. It has what is called the CAIR, C-A-I-R regulations on SOx and NOx. It has, as you suggested the hazardous pollutant regulations on mercury, I think somewhere in that chart that people called train wreck, there is also new particular regulation. And it's just hard for me to see how each and every one of these won’t impose a new investment requirement and additional cost requirement on all of the older and smaller coal-fired units, especially some that existed in northern Illinois. As we look at it, something we do know simply from industry discussions, is that a number of utilities have tried to approach EPA about whether there is someway to put all of their plans for their units in a bubble and get credit for shutting down some against the operating requirements for the big and better ones, and I think EPA told them it doesn’t quite work that way because of the lawsuit that they brought themselves. EPA feels that it has to enforce each of these statutory requirements on its own unique terms. And that’s going to place some real burdens on some of these plans. So I wish it had the sort of predictability that good CO2 legislation would have. But I think it’s in some ways even more dramatic in its long-term outcome.
Hugh Wynne – Sanford Bernstein: Did you see the impact entire primarily on the energy prices, John, or do you think that there will be a material impact also on capacity prices overtime?
John Rowe: I would think capacity perhaps even more than energy, but I’d like Ken Cornew to take that one. Ken?
Ken Cornew: Yes. I think it's both. To the extent there is more cap-and-trade in these elements. Those types of cost get into the dispatch of the generators and that will impact the energy market. To the extent its investment obviously in capital that's going to look large in a five year or six year future timeframe that is going to have to make its way into the cost for generators to bid into RPM, so I think it's definitely some of each.
Hugh Wynne – Sanford Bernstein: Great. Thank you very much.
Operator: Thank you. Your next question comes from a line of Jonathan Arnold with Deutsche Bank.
John Rowe: Good morning, Jonathan.
Jonathan Arnold – Deutsche Bank: Good morning. I wanted to ask a question about your hedging during the quarter, it seems that while within the broad (inaudible) that ratable plan you did hedge somewhat more than you could have done, and you also made the statement at the beginning to John that you kind of remain optimistic about the future prices. Is it reasonable to assume you just don’t feel that optimistic in the 2012 timeframe? And then I wanted to also, is there an element here that a potential change to hedging around the new regulations in financial reforms et cetera that, is there anything you are doing today, you feel concerned, you might not be able to do in the same way?
John Rowe: I will let Ken answer most of that, but just let me say we know all of you are concerned about 2012 prices so are we. We can't predict just when some mix of tighter capacity, higher gas prices, higher coal prices and some carbon penalty really begins to have an affect. We’re very sure we’ll be there. But whether its 12 or 14 we’ve no better way to know than you do, so our approach to this is fundamentally manage our hedging strategy in accordance with what we see, manage the company so that we take our long-term forecasts and deliver real results that beat those forecasts. And its kind of funny in my now many years, the period from say '05 to '08 is the only time I’ve ever had good long-term five year forecasts and those turned out to be wrong. Most of my experience has been that you have bad long-term forecast, and you work like hell to make the reality better than what the machines does. And often you succeed. So that’s how we deal with this commodity cost. But with that I’d better let Ken answer the greater detail of your question.
Ken Cornew: Yeah, Jonathan. Obviously when we talked about the last quarter, we came into this quarter above ratable and we talked about the use of options, and some of the uncertainties that we are looking at regarding economic recovery and its impact on gas and power demand. We’ve started ahead ratable in the Midwest obviously with that ComEd swap and we’ve remained ahead of it, since the three year plan has been instituted. We did increase our mid-Atlantic activity of underlying sales to essentially catch-up to ratable with the PECO contract rolling off at the end of 2010. We did have some reduction in expected generation, and we did have some higher effectiveness in hedging from our put options. So where we are is, we are at ratable with our underline position and we are ahead of ratable with the put option strategy. We do that because we do think there is upside in the markets, particularly when I look at heat rates, I am still seeing spot heat rates disconnected from forward heat rates. We talked about the APD, NI-Hub spreads and how they’ve come from $13 level in the forwards last summer, all the way back to the $6 level now. John mentioned and we talked about how we are working to improve in areas of the transmission grids to make sure we can deliver our power to the broadest markets. We’ve seen really some good support in NI-Hub of heat prices in the quarter and some good support in the forwards also. Matt mentioned wind build-out, the wind build-out is obviously flowing down in our mind, and it’s tough to get a long-term contract to build the wind facility in this price environment. So we do believe there is upside in NI-Hub heat rates. We believe that a lot of the environmental impacts are going to happen outside this hedging window, and where the uncertainly comes in is around how quickly the economy is going to recover and what that does to gas and power demand. And your second part of your question I think was, are we doing anything differently because of potential CFTC regulation? And the answer to that is simply no. We continue to focus on our hedging program, utilizing all the channels we’ve talked about in the past load filing, standard products at different basis hubs, participating in the retail business competitively and all kinds of structured transaction opportunities that we look at from time to time.
Betsy Moler: This is Betsy Moler; if I could comment on the derivatives legislation, which is also part of the question. We are cautiously optimistic that the ultimate definition of who gets an end-user exemption in the derivatives legislation will provide us the ability to avoid the CFTC clearing requirements. Senate Agriculture Committee approved a version of the Bill earlier this week that provides such an exemption while the language isn’t ideal, we’re certainly making progress there and we’re hoping that will be covered when the bill – when and if the bill finally becomes public law.
Jonathan Arnold – Deutsche Bank: Can I just ask a clarifying – would that allow you to continue to – would that language allow you to continue to kind of hedge, it sounds like you are hedging commodity exposure by trying to keep some of the heat rates upside, which obviously requires use of options and the like, would that also going to fall under such an exemption?
Betsy Moler: We hope that the ultimate definition will, but it’s really a work in progress right now.
Jonathan Arnold – Deutsche Bank: Okay, thanks very much.
John Rowe: Thank you.
Operator: Thank you. Your next question comes from the line of Michael Lapides with Goldman Sachs and Company.
Michael Lapides – Goldman Sachs: Hi. Really two questions, they are separate from each other, one on generation, one on the regulated side of the business. On the generation side, are there any balance sheet reasons why you implement kind of such a long range, meaning a three year prorated hedging program or is it driven largely by something else? I mean, my gut is that a nuclear generator always going to run, always going to be in the money. Why hedge if the fundamental give us that power prices are low for kind of that third year, why not leave a large chuck of that third year open rather than even having 50% of that hedge. That’s the first question? The second question, just curious for insight outlook on state of Illinois utility regulation in terms of kind of going into the ComEd rate case?
John Rowe: Okay. Let me start with the first one and Matt and Ken will help me here. I do not think there is a real balance sheet reason for the ratable three year hedging but Matt and Ken may have a thought that I don’t. Obviously, things like supporting the dividend are a reason to have a hedging policy. We have said back from time-to-time, and said should we do what Exelon does and simply say, our fundamental business is too weak to hedge. But we have – but the three-year policy allowed us to bring some stability to earnings and cash flows that we wouldn’t have otherwise, and as I think you gathered from an earlier question that Ken answered. He kind of thinks that he is able to get some forward fields now in 12 that are just a little better than the spots might be when we get out there. There is an anomaly in electricity, in that forward markets don’t go very far out and long-term contracts by people with load serving responsibility tend to be at higher prices than the some of the intervening spot markets, and I think that also supports what Ken is doing, but now Matt and Ken tell me what I missed.
Matthew Hilzinger: I would add to that, John. The hedging is there to really protect and help reinforce our investment grade rating and provide some stability although, of course, we’d call it 18 months to 36 months in terms of cash flows. So if a plant goes down operational risk that we are covered from that and that is really kind of the key reasons why we hedge is to protect on the operational side, protect our investment grade rating. And then thirdly, it helps in terms of just access to capital. There’s a lot of things that we do from a commercial standpoint that require investment grade ratings that we think are important. So those three things I think are the real fundamental underpinnings of why we hedge in the way that we do.
John Rowe: Could we switch now? Frank, would you pick up this question about Illinois?
Frank Clark: I will start and add, our President can also add some perspective. As we’ve announced, it is our intent to file a rate case for ComEd the backend of the second quarter of this year. That is still our plan. The regulatory plant in Illinois is about the same as it was before. We have a new Chairman of the Congress Commission, Chairman Flores who has not been confirmed by the Illinois (inaudible) and don’t know it will be confirmed before the senate in this session, it is unknown. I think that the regulatory climate is essentially the same as it was before when we had Chairman Box. I think that our expectation will be treated fairly when we file our rate case. The Illinois regulatory climate is directly related to the Illinois political climate, which is, as it has been for the last decade at an interesting state. And Governor Quinn is trailing and opposed to kind of ready, who as the Republican who may actually succeed. If he does we will probably get a different Chairman, would be in that seat, probably would inspect sometime early next year. So there are uncertainties but in overall balance in the regulatory climate in my judgment remains simply sustained. Anne?
Anne Pramaggiore: Yes, Frank, I would add as we understand the regulatory climate in Illinois pretty well, and we work very hard to get ourselves in the best position possible coming into Detroit cases we have work. We have a history now working very constructively with the FAS, in the last rate case. We work constructively with stakeholders on the Smart Grid projects that’s been going on over the last year and a half. We took a lot of cost out of the business last year, that’s going down as a commission, and they also recognize that we work very hard to stay out last year and extend the time for the next rate case, so I think that’s all recognized and should put us in a reasonably even position going into this case.
Michael Lapides – Goldman Sachs: Got it, and can you just tell us what was your lastly the rolling 12 months for 2009 earned ROE at ComEd?
Anne Pramaggiore: It’s fixed.
John Rowe: It was fixed was the answer they gave.
Michael Lapides – Goldman Sachs: Okay, thank you guys, much appreciated.
John Rowe: Thank you.
Stacie Frank: Christine, we have time for one more question before turning the call back to John for closing.
Operator: Thank you, your final question comes from the line of Paul Ridzon with KeyBanc.
Paul Ridzon – KeyBanc: When we look at your hedge update looking at 12, for instance, you are basically about 50% hedged, how much of that is throughputs, and therefore the upside is still preserved?
Ken Cornew: Yeah. It’s a little more than 5% of that throughput.
Paul Ridzon – KeyBanc: The 5% or the 50%.
Ken Cornew: Yeah.
Paul Ridzon – KeyBanc: About 2.5%?
Ken Cornew: No, 5%, its 5% of a nominal 50% so with underlying it would be something like 45, 43 to 45% hedged than with the puts out it is more like 48 to 51, is that clear?
Paul Ridzon – KeyBanc: Yes. And you started kind of using the put strategy more recently?
Ken Cornew: We actually employed the put strategy in prior quarters for 2012. We started the put strategy earlier on in our ratable hedging program so in ’09 we started doing that.
Paul Ridzon – KeyBanc: Thank you very much.
Operator: Thank you. I will now turn it over to for closing remarks.
John Rowe: Thank you all very much. Stacie and her team will continued answer you questions. I think she and predecessor Karie Anderson have done a great job trying to improve the quality of the materials; we put out in public so we get to lot of your questions forward meeting. Some will keep working on as much clarity as we can provide. Simply put Exelon is 70% to 75% commodity driven business and 25% to 30% regulatory driven business and the commodity business was a lot of fun 2 years ago and its harder work right now. As a results for the first quarter show we’re able to beat that own model sometimes by hard work and we will continue to try very hard to do that. We will try to give you a really good year this year, and we’ll keep working on the questions you all have about 2012. We have a long time ahead of us before 2012 comes, I am confident we’ll find some good things to do in that intervening period. Thanks a lot for your patience and life at Exelon will be fine again one of these days.
Stacie Frank: Thank you. That concludes our call.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.